Operator: Good day ladies and gentlemen and welcome to the third quarter 2008 Genpact Limited earnings conference call. My name is [Carissa] and I will be your coordinator for today. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Mr. Anil Nayar, head of Investor Relations. Please proceed.
Anil Nayar: Thanks Carissa. Welcome to Genpact’s earnings call where we will discuss our results for the third quarter ending September 30, 2008. My name is Anil Nayar, head of Investor Relations, and with me I have Pramod Bhasin, our President and Chief Executive Officer and Vivek Gour, our Chief Financial Officer. We hope you have had an opportunity to review our press release. If not, you will find it in our website at Genpact.com. Our agenda for today is as follows. First we will begin with Pramod to give an overview of our results and an update on our guidance for the full year. Vivek will then take you through our financial performance in greater detail. This will be followed by Pramod’s closing remarks after which we will take your questions. We expect the call to last about an hour. Last quarter we had reclassified foreign exchange gains and losses to the appropriate cost lines on the face of our income statement. Our comparative results are shown on this reclassified basis. Please note that some of the matters we will discuss in today’s call are forward-looking. These forward-looking statements involve a number of risks, uncertainties, and other factors that could cause actual results to differ materially from those in such forward-looking statements. Such risks and uncertainties include but are not limited to general economic conditions and those factors set forth in our press release and discussed under the risk factors section of our annual report on Form 10-K and other SEC filings. Genpact assumes no obligation to update the information presented on this conference call. On our call today we will refer to certain non-GAAP financial measures which we believe provide additional information for investors and better reflect the way management views the operating performance of the business. You can find a reconciliation of those measures to GAAP as well as related information in our press release on the Investor Relations section of our website, Genpact.com. With that let me turn over the call to Pramod.
Pramod Bhasin: Thank you Anil and good morning and thank you everyone for joining us on the call today. We completed a good third quarter despite dramatic changes in the global economy which began several months ago. Here are the highlights. Our revenues grew 26% for the third quarter versus last year and 28% for the year-to-date driven primarily by global client revenue growth of approximately 61% for the quarter and 78% for the year-to-date. With these strong growth rates, global client revenues represent an ever larger and even larger portion of Genpact’s total revenues, now 54% for the third quarter and 52% for the year-to-date. By the end of 2008 global client revenues will be more than $500 million. This is a significant figure by any measure, especially considering that we have generated these revenues from almost a standing start less than four years ago. We won a number of new deals in the third quarter across industry sectors and we believe these clients will throw out additional growth opportunities for us. For example, a Fortune 500 computer software company where initial scope of work is around procurement, FMA and analytic was a great win for us, as we were able to demonstrate strong capability and competency, good relationship connect with the customer and integration of our solutions to optimize value for the customer. Another unique deal was a global publisher and information provider where we are going to commence with FMA, but are looking at many other areas of growth such as reengineering, analytic and IGO. In the BFSI states we won work with a large, regional U.S. bank on core banking operations and are looking at expanding the relationship to FMA, analytics and reengineering over time. All of these wins in this tough environment demonstrate the value we are able to create for customers through our business model and the continuing demand for our services. Our business with GE also continues to grow in the mid-single digit range when GE divestitures are excluded. Our growth in Europe and Asia-Pacific also continues at a very healthy pace as we continue to diversify geographically which clearly differentiates us in the marketplace. This includes both developed markets in Europe and emerging growth markets such as China and India. This does indeed continue to ramp our India for India and China for China businesses, which were launched in the early part of this year, with positive results including a significant reengineering project for a large telecom company. Vivek will provide the revenue details in his comments. Adjusted income from operations margins increased 166 basis points to 18.3% in the third quarter from the prior year and 106 basis points to 15.8% for the year-to-date, reflecting the leverage in our model as we manage our costs while adding scale. We are investing in new global delivery centers to respond to clients needs for geographic diversification. An example is our investment in Guatemala to strengthen our presence in Latin America. We plan to continue to use this investment strategy in the future as client need and opportunities dictate. Our financial position is strong. This affords us the liquidity and flexibility to continue to invest in operational initiatives as well as take advantage of appropriate opportunities as they arise. For the year-to-date operating cash flow increased 60% to $128 million and as of September 30, 2008 we had more than $300 million of cash on hand. Our people management practices continue to lead the industry. Our attrition rate for the nine months ending 2008 was approximately 26% down significantly from 30% for the full year of 2007. The lower attrition is seen across the industry as market uncertainties are causing people to reassess job changes, which is likely to result in less pressure on wage increases. We believe that we have the best HR practices and processes in the industry and will continue to invest and strengthen these areas to adapt to new market demands. The reduced attrition is having a positive impact on our business with increased client satisfaction through improved quality and decreasing our costs of hiring and training. In summary, we’ve had a good third quarter. Based on this performance and our outlook for the remainder of the year, we are reaffirming our full year 2008 guidance. We expect revenue growth of 26 to 28% from a base of $823 million in 2007 and adjusted operating income margin of 17.1 to 17.3%, an increase of 80 to 100 basis points from 16.3% in 2007. However, given the changes in the global economy, particularly as these changes are disproportionately impacting discretionary project based work, for both revenue and adjusted operating income margin we expect our results to most likely come in at the lower end of the range. I will talk about the current environment after Vivek takes you through the financial results in greater detail. Genpact has been a public company for over a year and through an increasingly turbulent economic environment, we have established a proven track record of superior growth. We attribute this performance to our talented team, disciplined execution and breadth and depth of our expertise, as well as the unique business model that combines high visibility with a relatively large percentage of highly sticky, non-discretionary work. Other companies talk about these capabilities but we deliver them every day and we believe it shows in our results. Our operational ringer and unique combination of core capabilities sets us apart and drives success in building business and delivering value to all our constituencies. Our core capabilities include first, our investment in talent. We have created a culture that excels in [success and more profits] as technology expertise and reengineering capability which allows us to deepen client relationships, move up the value chain, increase productivity and improve margins. As one measure of this investment, revenue per employee increased to $30,300 year-to-date on an annualized basis from $28,200 in 2007, which is a 7% increase. Second, our continued focus on operating excellence. Our operating rigor drives internal and external benefits. As a result of our profits discipline day in and day out, our existing clients have become our best sales people through the references they provide to prospective clients. Internally it means we can leverage our cost base as we build scale to clients or make adjustments quickly if necessary. Our adjusted operating income margin improvement in the third quarter exemplifies the leverage in our model. And third, the depth and breadth of our expertise. This includes deep domain expertise, a global delivery platform, in depth knowledge of work build in essential practice areas of profit industry such as FMA, procurement, etc. that our clients are required to operate their businesses. Clients choose Genpact because of our experience, successful track record and relentless focus on best in class metrics to capture and demonstrate value delivered. This model is the basis for our performance and growth and it strengthens our ability to navigate through the near term environment. Now I will turn the call over to Vivek. I will make a few closing remarks before we open the call for Q&A.
Vivek N. Gour: Good morning everybody and good afternoon and good evening to those in Europe and Asia. Our financial results reflect the strength and resilience of our business model and our ability to execute and create value for our clients. We continue to drive productivity and efficiency in all internal processes and are on course to deliver strong growth in 2008. Our net revenues for the quarter came in at $271 million, a 26% increase from the third quarter of 2007. Global client revenues increased 61% in the third quarter year-over-year to a total of $147 million and they increased 78% for the year-to-date for a total of $395 million. Reported GE revenue remained flat for the quarter however they were 6% when G divestitures are excluded for both the quarter and year-to-date. More than 80% of our overall growth in revenue comes from existing clients. We typically start small, build strong strategic relationships, demonstrate the results and enhance business growth. Currently, 26 client relationships each account for $5 million or more in revenue compared to 14 in the prior year third quarter. Of these, 4 each account for $25 million or more in annual revenue. We continue to diversify our client base and added 4 key clients in the third quarter. We believe these clients will provide additional growth opportunities for Genpact. As Pramod mentioned, these are great wins in this environment as we continue to win deals due to capability, competency, relationship connect and reference ability of our existing customer base. The last point being a very key factor for future success, it demonstrates the continuing demand for our services even in this environment. Our portfolio continues to be balanced with multiple engines for sustainable, long term growth. Our client base is diversified across industries, sectors and geographies. In the third quarter both BFSI clients and manufacturing clients accounted for 42% of revenue. The remaining 16% of revenue was from clients in other industries including the services sector. In most cases, the work we are doing is nondiscretionary and critical for the sustainability of daily operations. Some examples of this nondiscretionary work would include closing the books, paying the bills, [for] setting sales orders, collection of cash, etc., all of which are a part of our finance and accounting practice. Our finance and accounting practice across industries accounts for roughly 30% of total Genpact annual revenue. Our financial services vertical business grew 24% in the third quarter over the prior year and 26% for the year-to-date, while our manufacturing and services businesses together grew 28% for the quarter and 30% for the year-to-date. We continue to diversify our business geographically. In the third quarter European revenues grew 29% and revenues from Asia-Pacific grew 80% compared to the prior year. In terms of our BPO IT mix the proportion of our business profits revenue increased slightly to 81% of the overall revenue for the quarter. IT services accounted for the balance, 19%. The slight decrease in IT revenue reflects the continuing industry softness in discretionary spending in areas such as software services. We expect the split between the business processes and IT services revenues to remain roughly the same for the rest of 2008. As you are aware, there has recently been a significant depreciation of the U.S. dollar against the rupee and other currencies. Because we have hedged most of our rupee costs, we do not anticipate any positive impact of this trend on our results just as we did not have a significant impact when the dollar weakened in the past. Turning to the rest of the profit and loss statement, our gross profit totaled $115 million in the quarter, up 25%. Third quarter drop margin of 42.5% was comparable to 42.9% in the third quarter of 2007. For the first nine months of 2008, gross margin was 40.9% again comparable to 40.5% for the prior year same period. Our SG&A expenses for the third quarter increased only 21% to $71 million. As a percentage of revenue it decreased to 26.3% of revenue from 27.5% of revenue in the third quarter of 2007. This change reflected continuous improvements in productivity and leveraging the investments in our top line management. At the same time, we continued to invest in business development. Our adjusted income from operations grew $49 million which represents a 39% increase from the third quarter of 2007. The adjusted income from operations margin was 18.3% up from 16.6% in the third quarter of 2007, an increase of 166 basis points. This margin improvement was driven primarily by improved operational efficiency and lowering our [client’s] G&A costs. Adjusted net income grew $46 million in the third quarter compared to $28 million in the third quarter of 2007, an increase of 64%. This was driven primarily by business growth, improvements in SG&A, productivity and interest income in this year’s third quarter versus interest expense in the prior year’s quarter. Our adjusted diluted EPS was $0.21 compared to $0.13 in the third quarter of 2007. Our effective tax rate for the third quarter was 14.5% compared to 13% in the first half of 2008, which is in line with our expectations. We continue to expect our full year effective tax rate to be in the range of 13% to 17%. I would like to walk you through key items on our balance sheet and statements of cash flow. We have a strong balance sheet with approximately $303 million of cash and cash [equity] balance against approximately $104 million of long term debt. Our accounts receivable increased in line with our growth in revenues. Our days still outstanding measured 77 days, down from 82 days in September, 2007 and 79 days in June, 2008. Our broad capital expenditures spend in the third quarter totaled $21 million bringing the year-to-date total to $53 million which represents approximately 7% of revenue. We expect full year capital expenditures to be in the range of 7 to 8% of full year revenue based on our fourth quarter plans to invest in special economic zone facilities in India and expand in other global regions. Our cash flow from operations for the nine months ended September, 2008 was $128 million compared to $18 million for the same period in 2007. This is a significant increase based on higher operating income. Our year-to-date free cash flow increased from $41 million to $81 million as a result primarily of higher cash from operations. We have significant cash on our balance sheet as well as sufficient access to un-drawn credit line. We maintain a prudent and conservative approach to managing cash balances and working capital and will be even more vigilant in the months ahead. With this I hand it over to Pramod for his closing remarks.
Pramod Bhasin: Thank you Vivek. The world changed dramatically just as we were closing our third quarter as we all know. And like the rest of the world, we are monitoring the situation closely and will continue to do so in the months ahead. There is no question that in the near term, many of our clients will be faced with fundamental changes which could cause disruption in their businesses and delay decision making on some new work, especially more discretionary project based work. Now more than ever our investment in talent, operating expertise and the breadth and depth of our global capabilities as well as the strength of our unique business model will differentiate our performance from that of competition. We believe the prudent course of action is to take decisive steps now. Fortunately, we can pull multiple levers in response to the current environment. First and foremost we will focus intensively on providing superior service, value and results to our clients and grow those relationships. Second, we will leverage our existing relationship management team which has tremendous operating experience to [good work] our pipeline. Our pipeline, which increased to record levels in the third quarter, gives us a great opportunity for continuing growth in the coming year. Third, we are very well positioned with our investing into solutions to help clients with cost reductions, production efficiencies and cash flow. We offer expertise in areas such as integration of operations, risk management and compliance which will all have bigger focus in today’s environment. Fourth, we will continue our relentless focus on cost discipline and improved productivity and fifth we will continue to diversify our business geographically, especially in emerging growth markets. Now let me take a moment to talk about Wachovia, one of our four largest clients and the changes it is undergoing. I can say that we have an excellent relationship with the Wachovia team and remain on track with our plan for the year. We believe we have an excellent opportunity to showcase our capabilities to help the merge organization and in the meantime we will continue to do what we do best, focus on our client needs, demonstrate operating excellence and deliver results. Our relationship with GE also continues to grow, as GE considers Genpact a key strategic partner who can help them through this turbulent time. I can tell you from long experience that GE will move quickly to right size their cost structure and adjust to market conditions. We have helped GE achieve these goals in the past, we value them as a client and strategic partner, and our business with them is also extremely well diversified. In summary, we believe the fundamentals that drive the globalization of our services and technology such as the need for continued improvement in cost inefficiencies, major demographic shift and the shift in business strategy to focus on core competencies may have actually improved for the long term. For now we will continue to take a cautious approach. Our plan is to stay nimble, closely monitor our costs and cash, and be prepared to reform as the market environment evolves. With that, I would like to now open the floor to questions.
Operator: (Operator Instructions) Your first question comes from Joseph Foresi – Janney Montgomery Scott LLC.
Joseph Foresi – Janney Montgomery Scott LLC: My first question here is just versus last quarter what are you seeing in the quarter going forward as far as any delays or cancellations? It sounds like Wachovia is still an account; maybe some of the other companies are still accounts. Are you expecting the business to the back half of the year and what kind of adjustments are you seeing?
Pramod Bhasin: We’re basically seeing a range of work. I mean, in most cases for our nondiscretionary work that we do, the work is continuing to plow ahead and build capabilities and build up revenue. There are discretionary projects, etc., where we are seeing some delays and cancellations. And the lead time for new deals certainly has been getting longer, but that is something we have been seeing frankly from the beginning of the year.
Joseph Foresi – Janney Montgomery Scott LLC: So could we expect at least a lull or a dip next quarter as we kind of – and then maybe a pickup in the quarter after? Or how should we think about that quantitatively?
Pramod Bhasin: I think you know the guidance we have provided I hope will help in terms of the full year numbers that we are expecting. And quite honestly Joe we don’t want to manage on a quarterly basis, we don’t try to, we manage on a calendar basis. And that’s what we’ll stick to. So my view though overall is that as there is going to be near term disruption at the same time for some delays there are going to be new opportunities coming up. I’ve just come off a conference call with a major customer who’s suddenly thrown the door wide open to say “Look, every opportunity we were looking at, let’s accelerate it.” So I think you’re going to see all elements. We will have to be prepared to react and respond to that very quickly and stay very nimble as we go forward and really look at that going forward, you know, closer towards the end of this year so that we get a better idea of where we are at.
Joseph Foresi – Janney Montgomery Scott LLC: And just in reference to the BPO versus IT obviously BPO increased as a percentage of revenue, is BPO a better spend in this environment or a better proposition in this environment? And if so why do you think that takes place?
Pramod Bhasin: I think BPO overall is probably a better spend in this environment, mainly because it’s nondiscretionary work. I think companies are going to cut back on all discretionary projects all around the world and I think that is going to impact the discretionary type projects which are clearly in greater proportion on the IT side than they are on the business profits side. And that’s why I think the stickiness of the BPO business will be stronger and on the IT side the stickiness will really depend on nondiscretionary type of work that companies are doing because I really believe the discretionary projects based on what we are seeing in the economy are going to get canned.
Joseph Foresi – Janney Montgomery Scott LLC: On the acquisition front are you guys currently in talks or looking at any acquisitions? Or what are you seeing from a valuation perspective? And are those mostly captives?
Pramod Bhasin: We are in the market and looking around very carefully. We clearly want to make very strategic acquisitions which bring up domain expertise and customers and perhaps geographical diversity as well. There are both captives as well as non-captive which are in the market. I think there will be perhaps some time lag before we see valuations come down to where they really belong and I think we will remain very cautious in how we approach this, especially given the current economic environment. But clearly there will be opportunities, Joe, and we’re going to stay very close to those opportunities to make sure we can spring on them once we believe that valuations have reached the levels they should.
Joseph Foresi – Janney Montgomery Scott LLC: Are you looking at a BPO area or the IT services area or is there any specific area you’re targeting?
Pramod Bhasin: I think we’re – our focus is more on can we do acquisitions that give us domain expertise which give us a new customer base which perhaps give us a front end capability, because those are the areas where we see there are gaps. In many cases, the offerings may be joint and may have more to do and will bring a culmination of a solution or a platform based approach. Having said all of that, you know the fact is acquisitions are always going to be opportunistic so who knows what will actually work out based on our own criteria for what fits the fiddler and what fits the bill for our purposes?
Operator: Your next question comes from Bryan Keane – Credit Suisse.
Bryan Keane – Credit Suisse: The headcount growth has slowed and it looks like you only added about 500 heads this quarter and year-over-year growth looks like it’s now about 14%. Can you just help us understand what that means for future revenue growth as we go into 2009?
Pramod Bhasin: I’m not sure where the 14% comes from. I presume you may be talking about headcount growth and I think our headcount growth year-over-year has been much more than 400 – I assume perhaps you’re talking quarter on quarter? But it has been greater than 400. So we’ll be happy to explain that later on. No we have seen very strong growth and I think the increase in revenue for headcount demonstrates the value we’re getting from our clients and demonstrates the value we are able to deliver to them. You know, our increase in revenue for headcount is driven by reengineering, by higher value business that we do, by analytic business that we do, all of which are significantly higher as an average versus our regular headcount.
Bryan Keane – Credit Suisse: I only had you down for 500 increase in heads for the quarter but maybe we’ve got that number wrong.
Vivek N. Gour: No, headcount for the quarter versus the prior quarter of Q2 ’08 has increased by close to 1,000 heads.
Bryan Keane – Credit Suisse: So there’s no real plans to slow down headcount growth from where we have had it before?
Pramod Bhasin: No. I mean I think we like the higher value processes and the increasing value they represent that we deliver to our customers. So we will constantly try and get higher revenue per headcount because I think that is the business model we strive for only in that context.
Vivek N. Gour: To answer that our revenue generating headcount given the associate on the shop floor grew by 1,600 head between Quarter 2 and Quarter 3 of this year.
Bryan Keane – Credit Suisse: And then can you talk a little about pricing and then individual volumes you’re seeing from clients? I know you guys talked about the F&A work, but even inside the BPO have you seen volumes decrease due to the economic environment?
Pramod Bhasin: I think in some cases we have, no question about it. I think in some cases where perhaps volume or revenues that a customer is going through have decreased and some of our business has decreased. At the same time volumes in other areas have gone up, those areas such as collections and risk management are clearly up because that’s where people need additional support. So one has been offsetting the other but clearly yes there have been some areas where there have been some volume decreases offset by other areas though.
Bryan Keane – Credit Suisse: Now about pricing, any push on pricing? Are people trying to renegotiate lower prices?
Pramod Bhasin: No, I don’t think we’ve seen anyone trying to renegotiate lower prices. I do think though there will be a general pricing push that we are ready for because I think we’ve got enough leverage in our system that we want to be able to – that we can deploy to getting increased productivity so we’re very comfortable even if there is a pricing push, we’ll be able to manage that push fairly well.
Bryan Keane – Credit Suisse: Has there been much irrational behavior on pricing in the marketplace?
Pramod Bhasin: I think some of our competitors have been absolutely demonstration a little of what we could call irrational behavior. I think we will resist the temptation as we have done in the past. There may be a need to think about pricing as we go forward but we certainly don’t like participating in that. But yes we have seen some people trying to get in there to grab market share as much as they can.
Operator: Your next question comes from Tien-Tsin Huang – J.P. Morgan.
Tien-Tsin Huang – J.P. Morgan: I had a question about just the discretionary project base work. Can you remind us how much of your business we should classify as discretionary project base work and I guess where have you seen the greatest change in demand for this type of work?
Pramod Bhasin: I think it’s about 15% is our discretionary project work and down this quarter revenue. That’s why the impact of some of the slowdowns is like small on our total and proportion of total revenue. The key areas are on the IT side we have discretionary project work where we may see some slowdowns and that’s – I think we’ve talked about that in the script that I just went through. I think we’ve also seen some slowdown in discretionary project work around reengineering, where companies have said, “Guys, this is a project I’m not going to take it on now, maybe I’ll take it on next quarter. You know, I need to save my money here.” Again we will offset that by a variety of other means of showing value and pricing based on value delivered, etc. But I think we feel pretty good about it for the long term. But those are the two areas where we have seen some discretionary project work slowdown or get delayed or get cancelled.
Tien-Tsin Huang – J.P. Morgan: Did you comment on the pipeline and how that’s changed since the last quarter? And then maybe if you can comment on just the win rate in general?
Pramod Bhasin: Sure. The pipeline has – is at a record level in the third quarter, no question about it. And while the closure to off deals is taking longer than in the past and ramp ups are taking longer, the pipeline per se is at the highest level that we’ve ever had. I think on the win rate also we’re very, very happy with our win rate. You know our win rates are in the 33% type of range. They’re down somewhat from last year but I think that’s only to be expected given the competitive environment. But we’re still very happy with that high a win rate frankly at this point in time.
Tien-Tsin Huang – J.P. Morgan: My last question is on GE sounds like good performance but just visibility going into 2009 with GE, any color there?
Pramod Bhasin: You know we don’t if you don’t mind we won’t talk about ’09 in specifics right now. What I will tell you about GE is GE moves very fast in this kind of environment. And we have gone to them with a number of big ideas as to how they can take further costs down. They’re coming to us with a number of new ideas on areas they want to attack. So our traction with them continues to be very good and our performance with them during this year has been very good. Clearly on the IT side they tend to also cut back on all discretionary projects which impacts us somewhat, but everywhere else we are seeing terrific traction from them and we are – they consider us a very strong strategic partner and we have gone to them with some very big ideas on how we could help them take costs out which are meaningful. And therefore I feel very good about the way we are working with GE and our partnership.
Operator: Your next question comes from Rod Bourgeois – Sanford C. Bernstein.
Rod Bourgeois – Sanford C. Bernstein: It sounds like you’re pipeline has increased in the past three months and I’m wondering if you can quantify how much of that pipeline increase is a function of deals that have been delayed and are thus causing a build up in the deals in your pipeline? Or how much of the pipeline increase is a function of a new wave of deals that are entering the pipeline kind of late?
Pramod Bhasin: It’s primarily, Rod, new deals entering the pipeline. There are a few deals that have gotten delayed but it isn’t a sizeable number. And in fact the total number of deals added is quite significant and the total contract value in that pipeline is quite significant. But it’s a very small proportion of deals that were delayed that are now coming back in.
Rod Bourgeois – Sanford C. Bernstein: And if you look at the characteristics of the deals that have come into the pipeline recently, can you talk about the characteristic of those deals relative to what you were seeing in the pipeline maybe a year ago? In other words, are the deals smaller or larger? Are they in different verticals or are they focused on different processes? Can you just talk about what’s new about the new deals coming in the pipeline?
Pramod Bhasin: I think versus last year what we are seeing is smaller deals, larger number of customers but smaller deals in terms of overall size. The smaller deals in my view are driven by a couple of things. One by a far closer, laser sharp view of where the real cost benefits lie, which ones are the easiest to extract and have the fastest paybacks. Two, versus the prior year when a company may have said, “Look, I want to consolidate all operations around the world”, they’re now getting much sharper about, “Let’s just do these countries first and we’ll come to the rest later on.” We’re seeing good deals in F&A again, from supply chains we’re seeing deals on the IT side, infrastructure side, also we’re seeing deals. All of these are areas where companies are coming out and saying, “We want to start in this area,” but in most cases clearly the thinking at that time about the contract may not be concluded today but the discussions are around a broader range of services over time.
Rod Bourgeois – Sanford C. Bernstein: Earlier this year it sounds like you were seeing momentum in your Six Sigma based fast payback cost containment type deals, but it also sounds like maybe that part of the business has either been delayed or disrupted recently. Is that an accurate assessment?
Pramod Bhasin: I would say that there have been some delays in that part of the business but frankly that part of the business has grown at you know well about 60 to 80% or nearly 100%. So the extent of the delays are very minor, Rod. You know, yes they can have some impact on a quarter in terms of timing but broadly we’ve seen good – we continue to see very good traction in that area. In a few cases there have been delays but they’re really not a huge number.
Operator: Your next question comes from Ashwin Shirvaikar – Citigroup.
Ashwin Shirvaikar – Citigroup: TCS acquired Citi’s back office recently. This was a deal you guys were in the running for about 12 months ago. Could you talk about whether you were in the running this time around? And also from a strategic standpoint what’s the impact of large IT providers like TCS and [inaudible] sort of closing the gap and acquiring good BPO capability?
Pramod Bhasin: I think if I may, Ashwin, I obviously for confidentiality reasons I can’t comment on the specific deals. However, talking about IT providers acquiring BPO capabilities, we clearly see increased competition from them. So the IT guys do have broad capabilities. We see them far more often in deals. But we are very comfortable that given the range of expertise and depth that we have, they have a hell of a long ways to go before they can begin to close the gap. Similarly I’m sure TCS will do fine things with the Citi captives that they bought, but as we all know I think it takes a long time to let capability to commercialize it. And then again it’s a limited capability before the things that does and there’s never going to be as broad as what we have. And I think we also are making very strong strides on the business profits side to provide what we call [intuit] solutions, solutions that are truly integrated between IT, BPO, analytic and inside invest practices the judgment that we have accumulated. And that’s what I think customers want. And I think we are building up big domain, backed by Six Sigma, backed by reengineering capabilities and I don’t think those are easily replicable over the medium term. It’s taken us many, many years to build that capability. I don’t think you get there by one – by acquiring one business or trying to get that done in a short period of time.
Ashwin Shirvaikar – Citigroup: In the last quarter you had spent in the project based work and you said it was because clients wanted shorter term ROI services. Now there’s weakness and you seem to be saying those same services are more discretionary. So are clients not looking for short term ROI fixes? Are they now saying that this is a bigger term, longer term issue and we need to talk about BPO? Is that the case?
Pramod Bhasin: I think again to reemphasize, clients are looking for our reengineering services. It is our entry point and continues to be our entry point into many companies. It is our ability to drive out short paybacks, very good faster run project along with our BPO services that attracts them to us. There have been a few minor delays. I want to emphasize the word minor. As a proportion of our total revenue these are insignificant. And therefore I don’t want to give the impression that these are hurting. They’re not at all. Our growth actually I’ve just got the right numbers, this year for reengineering services is over 100%. So I hope that gives you an idea that the traction is very strong. And I believe in this environment the traction for our reengineering services focused on cost reduction, productivity driver, cash optimization will come in even more at this point in time. And I think based on the gain sharing approach we have with our customer, I think these will be winners this year and next year. In the meantime, quarter to quarter you may see a delay of a project or two but that’s all it is and I just want to make sure I reemphasize our reengineering services are enormously successful in growing at 100% a year.
Ashwin Shirvaikar – Citigroup: Are you still willing to sort of use your balance sheet or are clients asking you to use your balance sheet to structure contracts, something you alluded to earlier in the year? Or has the current credit environment increased the level of caution in that area?
Pramod Bhasin: We don’t really use our balance sheet, Ashwin, for clients. We don’t like it. We don’t want to do it and we haven’t done it. I think what you’re referring to in the past was transition costs that we had said, “All right you can pay us for a period of three years.” They used to and thereby helps them not to book the up front costs day one. And that [inaudible] cost is very small portion of the total billing, therefore the additional impact of that is very, very low. But no we’re not seeing that question being asked either by customers.
Ashwin Shirvaikar – Citigroup: How soon can you ramp up, say, you had a strong pipeline and new deals, how soon can you ramp up say call it a 500 seat or a 1,000 seat contract? If it comes up and the client says like you said, “All doors are open”?
Pramod Bhasin: I think a lot depends on the nature obviously of the work. I think in certain areas such as collections, etc., it’s very much easier and we can ramp up frankly in one or two months. I think in other areas if it’s supply chain type work or complex shared services type work, I think just the training period itself is what takes a longer time and then the ramp up can be three to five months. It depends on the nature of the work, if you understand what I’m saying.
Ashwin Shirvaikar – Citigroup: The spike in the other liabilities account, is there anything in particular going on there?
Vivek N. Gour: No, nothing really. Our spend is just basically that our hedge is running out to 2010, 2011, 2012 had a hedge loss because of the depreciation of the rupee and part of that goes into other liabilities. But you know on our one on one I’ll be more than happy to walk you through it.
Operator: Your next question comes from Jason Kupferberg – UBS.
Jason Kupferberg – UBS: I wanted to start with a question since you brought up the topic of Wachovia a little earlier, I mean are there any early indications from your guys side in terms of what might happen with Wells Fargo there? I mean, have you met with those folks to give us a sense of what Wells Fargo historically has or has not outsourced? I mean, I would think that maybe there’s some upside to that opportunity for you here in this situation but obviously it’s created some concern among investors just given the uncertainty. So any additional light you can shed there on how things may play out, understanding that it’s still relatively early days?
Pramod Bhasin: As I said in the earlier discussion our plans for Wachovia are on track for the year. That’s item number one. Two we are setting up the meetings to engage with those management, have them visit us, do all of those things that would allow us to engage at the right level. Clearly they’re going through a lot of integration and other things amongst themselves. This is stuff we can read in the papers, it’s not stuff which I just have proprietary that I’m shedding light on today here. And I think there will be a period of time before the really fruitful discussions happen with them. From what we understand of them is they have a small captive which does mainly IT work and that is really very small. So we believe this could represent an opportunity. What we also know is that we have extraordinarily strong supporters in Wachovia for what we do for them. And I think that support will really help us during this period of time. And we are getting ready to engage with them as soon as possible so that we also get better visibility into the future direction. I believe this could be a terrific opportunity, given that Wells hardly does any outsourcing at this point in time.
Jason Kupferberg – UBS: And if you can just provide some more color in terms of the client demand environment. I know you talked about yes there are both longer sales cycles and some elongated ramp times as well on existing work. I guess which of those issues right now is kind of more pronounced or more of a concern for you guys?
Pramod Bhasin: The longer lead time and decision making clearly is the area that we need to try and tackle because there are many more deals in the pipeline. Obviously we’d like to get them closed; we’d like to get them moving. I do think that as people begin to read where this overall economy is heading, we may see faster decision making. That’s just a guess but it’s my view. When I talk to customers a lot of them are – they’ve gone through the initial restructuring, the management change and lots of other things that have happened, they’re looking at the rest of the economy and the rest of the year ahead for them for next year and saying, “All right, we may have to accelerate this”. We haven’t seen it happen yet but that is what I think may happen over the course of the next two quarters.
Jason Kupferberg – UBS: Obviously even at the low end of the range you’re showing some nice year-over-year margin improvement for 2008. Can you give us a sense of how much remaining head room there might be in operating margins over the next year and beyond? And what some of the levers might be to get you there?
Pramod Bhasin: We think there is room in our overall cost bucket and in how we drive productivity in terms of leverage and scale. We have always believed that this is a throw back to our GE days where we really believe that you can never take out enough cost. Having said that, I think the world is also changing so we’re very conscious of wanting to compete in the marketplace and think about what may happen to pricing over time, how can we help our customers. So I think we have enough levers with us and I will tell you the main area where we use levers is for instance we still think there’s room in driving down infrastructure costs. I think rental rates will come down now as you can imagine with the real estate issues. I think hiring costs are coming down, training costs are coming down. I think wage increases will be lower. I think the amount of stopping – as we get better and better at operations, the amount of supervision and stopping we have to provide as an overview of processes is also going to decrease. So I think that our multiple levers, telecom rates look to come down again in certain parts of the world – so as we look at this there are many multiple levers that I believe we can use to give us further head room for the next few years.
Operator: Your next question comes from Tim Fox – Deutsche Bank Securities.
Tim Fox – Deutsche Bank Securities: First question I have was around another one of your customers that’s unfortunately been in the headlines a bit lately is Genworth. I’m wondering if you can comment on your business there, it’s been a long term relationship obviously and I’m just wondering if you could talk – maybe characterize the kind of work you’re doing for them? If you’re still on track for 2008 and what the outlook might be beyond.
Pramod Bhasin: As you rightly said we’ve been working with Genworth for really ten years actually. They were one of the first people when they were part of GE to give work to us. So we know the whole team extremely well. And we are very strongly placed with them. Our work with them continues on plan. We really don’t see – you know, we’ve been giving them productivity year in and year out for many years now and we continue to be able to do so. We work with them in finance and accounting and risk, analytic and ITO, on underwriting, we really do a massive range of work. We are, I would say, I guess in many respects mission critical to what they do because we probably have the greatest level of penetration into Genworth of any company that we work with. And so we feel very good about the work that we do. We know that there’s a lot of news out there but we feel very good.
Tim Fox – Deutsche Bank Securities: My second question is related to your top 26 customers and in your discussions with them Pramod I was just wondering if you could just talk a little bit about what their thinking is around their own restructuring efforts as far as the fact that there’s a significant number of layoffs going on? Do you think there’s any pressure when they’re in this process of doing layoffs that to increase offshoring that there’s going to be pressure against doing more offshoring? And in a related question wondering what your opinion is about the new administration coming in and the attitude towards offshoring in general? I mean, are you getting any sense from your customers that they may be pressured sometime over the next few years around this whole notion of protectionism?
Pramod Bhasin: Yes, absolutely. I was actually hoping you guys might tell us more about what their views are. But anyway I’ll give you my points on it for what it’s worth. From a customer’s perspective actually we’re not seeing that pressure. Maybe at some point in time we’ll see it but right now they have – a lot of them actually have gone through their own restructuring so they’re having a lot of people changes, etc., which in some cases have caused delays because their decision maker has moved on or moved to another job or whatever the case may be. However, what is clear is that the pain many of them are feeling is so deep and so strong is that even those people who may have been reluctant no longer have that choice anymore. There are at least two or three customers I can tell you that discussions going on with them internally is to various divisions they’re saying, “Guys at one time you had the luxury of sitting back and saying you don’t want to play. Now that luxury is no longer available. Get moving and figure out how you’re going to cut costs and how you’re going to take advantage of it.” Frankly a lot of the work they do I mean they can cut costs and they will cut costs on site but equally some of that work has to be done and I think that’s where over time will lead to increased business we hope for us in the medium to long term. On the election front, you know there has been so much discussion about outsourcing, etc. I think a couple of things. One, following that directory seems to have died away, certainly in the last month or so. Two, given the global trade environment, given the cooperation that I think the U.S. will now have in even greater proportion with countries such as China and India as you know the world starts to hang together to try and solve these problems, I think some of that pressure will go away. And I don’t know that elections more will affect outsourcing more than the economy will. I think the economy will have a far more, longer reaching impact and just to close up on the question you’re asking. So we haven’t seen that kind of behavior or discussion at all at this point in time. I just think of one or two instances where I’ve had a discussion with a customer. It’s been very clear, and certainly with one customer literally this afternoon, just two or three hours ago saying, “Anybody who wasn’t playing in this, those days are over. We’re looking for every opportunity, every good idea you’ve got, bring it to us, we’ll open it up.” And so it’s up to us really to jump all over that opportunity. And I think we’re going to see more of that because the pain they’re going to feel is pretty deep.
Tim Fox – Deutsche Bank Securities: Lastly just on the cash – on the balance sheet, still looking at M&A. Any talk about buybacks at this point? I know liquidity isn’t necessarily a big issue at this point, but given where the stock is any thoughts about putting into place at least a modest buyback?
Pramod Bhasin: We’ve certainly thought about it and we’ll certainly discuss it internally and with our board members. And so we haven’t made a decision on it yet. I think the issue remains, do you hold cash for outstanding acquisitions because at some point in time we do believe that you’re going to see some amazing value, we hope. And there are gaps in our portfolio that we’d like to fill. And I think we have to weigh one against the other so we have absolutely looked at it. We will thought about it but we really haven’t made any decision on it yet.
Operator: Your next question comes from Karl Keirstead –Kaufman Brothers.
Karl Keirstead –Kaufman Brothers: I had a couple questions about currency if I may and if I could start with the rupee. First I noticed you haven’t disclosed the hedging gains. Have you decided not to disclose that going forward? And secondly could you remind us what a rupee/dollar rate you’d locked in for ’08 and then in ’09 to help us get comfortable with our margin estimates?
Pramod Bhasin: No, we haven’t disclosed. We’re a publicly listed company is why that. If we have the choice of disclosing or not disclosing it. What we do is as we have explained in the past we – these currency gains are booked against the individual expense lines and we reclassify the FX gains and losses on the appropriate cost lines on the face of our income statement. I’ll turn it over to Vivek to talk about what is the actual rate at which we’ve done on this.
Vivek N. Gour: Karl we won’t be disclosing the rates at which we hedge. That would be technically be a weighted average rate. But hedges are at all rates all across the board and we as you know hedge out two years in advance. So the hedges we wrote for 2008 and 2009 were done in ’05 and ’06. And often have little bearing with respect to what you might see in the market today. There are hedge gains and losses of concern. They will sit in the balance sheet for the unrealized portion of our hedges in the future in lines called other current effects and other effects. All other liabilities if they were losses.
Karl Keirstead –Kaufman Brothers: If we could turn to the euro or pound, I didn’t hear it, but did you disclose what portion of revenues or what portion of your revenue mix are derived from euro or pound denominated contracts? If you could provide that that might help us gauge your exposure to the dollar or euro pound movement.
Pramod Bhasin: We specifically do not provide make up or revenue exposure by currency.
Vivek N. Gour: It’s approximately not going to be more than 10 to 12% of our total revenues.
Pramod Bhasin: And to the extent possible we hedge those also.
Karl Keirstead –Kaufman Brothers: So the dollar movement against the euro pound has a diminimis effect on your P&L? Is that correct? Or if it doesn’t could you help us understand how it affects your income statement?
Pramod Bhasin: If I may suggest, we don’t normally disclose all these details. We’ll be happy to walk you through it on a subsequent call to perhaps describe how we do it and the extent to which we do it.
Operator: Your next question comes from Ed Caso – Wachovia Capital Markets.
Ed Caso – Wachovia Capital Markets: Earlier you mentioned a sense that the competition was getting a little tighter. I wonder if you – and maybe there was some irrational behavior – could you differentiate between say the larger tier one players and maybe some smaller players that are getting more desperate and maybe even throw the captives into the mix? Just trying to get a sense of sort of where the pressure might be coming and given that you’ve got sort of Fortune 500 kind of clients, are they listening to sort of the tier three players or are they sticking with the tier one?
Pramod Bhasin: Really I think the tier three don’t come into account. So the pressure we end up feeling it quite often can be an IT company, a tier one, a globalizing company not even what you would call tier one – globalizing company wanting to make its mark on the business profits side. Or it could be probably any IT company wanting to make its mark on the business profits side. Sometimes we are just not certain perhaps about how they allocate costs internally or how they – do they think about their expenses internally on the business profits and IT side. Well that’s where we see some pricing which we look at and say how do you make any money on this and how do you take on these kinds of liabilities? It’s not that often but once in a while we see it.
Ed Caso – Wachovia Capital Markets: Could you give us a sense on your visibility and your forward 12 months relative to say this time last year?
Pramod Bhasin: Well I think Ed you know we’re going to obviously wait until we announce our ’09 results to give you that. Typically thought to your point and I hope this is the question you’re asking, we do have visibility of about 80% into next year of our total revenue. And I think that will generally hold good. It’s between the 75 to 80% is roughly where it sits.
Ed Caso – Wachovia Capital Markets: And if you could differentiate within GE how much is BPO and how much is IT and maybe how much of each of those segments is growing or not?
Pramod Bhasin: The IT segment within GE is pretty flat. The BPO segment is the one that’s growing to 10% or more the double digits. And within that out of the GE business about 25% would be IT.
Operator: Your next question comes from [Vincent Lint] – Goldman Sachs.
Vincent Lint – Goldman Sachs: I’m just wondering if you can talk about whether there’s any major difference in terms of demand environment on a geographical basis, you know, say here in the U.S. versus Europe and other parts of the world?
Pramod Bhasin: I think the U.S. as we said in the call our pipeline overall remains very full and is at its highest level that it’s ever been. Europe also our pipeline is good, although I think the pipeline there is probably smaller than it is in the U.S. Having said that, our pipelines in China and India where we are just starting off businesses is looking terrific. These are high growth markets, the companies there are looking for these services and as we’ve said in my discussion we will increasingly focus on these types of markets because we’re seeing real traction and real revenue growth in these markets. And very strong revenue growth.
Vincent Lint – Goldman Sachs: And then I just wanted to drill down your BPO versus your IT business a little bit, whether you can comment about the margin profiles for each of your business, given the continued softness that we have seen on the IT side? And also just on the IT specifically whether we should expect to see continued weakness or do you expect to see the IT business pretty much stabilizing at current levels?
Pramod Bhasin: If you won’t mind, I apologize for this, but we don’t really disclose the margins between the two businesses. I think you will find them – and I think depending on cycle and depending on the nature of the work within – you know we have two different businesses, IT for instruction purposes and the software business, again within that the margins are different. So I apologize. I don’t want to get into that discussion. We do think that the portion of IT to BPO will stabilize and stay at this kind of levels going forward.
Operator: At this time I’d like to turn the call back over to Mr. Anil Nayar for closing remarks.
Anil Nayar: Thanks, Carissa. Let me just thank everyone for joining us on the call today. In this environment we’re very pleased with our financial results and our overall growth [to date]. Short term we’ll have some challenges for our customers as they look to reprioritize their business goals objectives but we are very confident in our people and in our business model to help our customers even achieve greater heights. So if you have any questions further on please drop me a note and we’ll respond to comments [as they arise]. Thank you.
Pramod Bhasin: Thank you very much everyone.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.